Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:01 Hello and welcome to the Popular, Inc. Q4 2021 Earnings Call. My name is Emily, and I will be coordinating the call today. [Operator Instructions] 00:14 I will now hand the call over to your host, Paul Cardillo, Investor Relations Officer at Popular Inc. Please go ahead.
Paul Cardillo: 00:22 Good morning, and thank you for joining us. With us on the call today is our CEO, Ignacio Alvarez; our COO, Javier Ferrer; our CFO, Carlos Vázquez; and our CRO, Lidio Soriano. They will review our results for the full year and fourth quarter and then answer your questions. Other members of our management team will also be available during the Q&A session. 00:42 Before we start, I would like to remind you that on today's call, we may make forward-looking statements that are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's earnings press release and are detailed in our SEC filings. You may find today's press release and our SEC filings on our web page at popular.com. 01:06 I will now turn the call over to our CEO, Ignacio Alvarez.
Ignacio Alvarez: 01:09 Good morning and thank you for joining the call. Before I begin, I would like to acknowledge our recently appointed Chief Operating Officer, Javier Ferrer. Javier joined Popular as Chief Legal Officer in 2014 and has made important contributions to our strategic initiatives these past years. As COO, he will continue to provide strategic and operational guidance to our senior management team. 01:33 Javier passes the legal baton to José Coleman, who has assumed the position of Chief Legal Officer. José has been with Popular since 2017. We are confident that each of these appointments will strengthen our senior management team. 01:48 Today's results reflect another solid quarter and an outstanding year in which we achieved record earnings. Our results reflect the continued recovery in economic activity, our diversified sources of revenue, and prudent risk management. 02:04 I am very pleased to report that in January, we announced a series of planned capital actions that we intend to execute this year. These actions include an increase in the company's quarterly common stock dividend of 22% to $0.55 per share beginning in the second quarter and a common stock repurchase program of up to 500 million. 02:27 Additionally, we completed our 2021 capital plan in the November with the redemption of 187 million of our 6.7% trust preferred security. These actions evidenced the strength of our capital position, which allows us to return capital to our shareholders, while we continue to invest in our franchise. 02:48 Please turn to Slide 3. Our annual net income of 935 million, reflects an increase of 428 million above our 2020 annual net income of 507 million. The increase was largely driven by lower provision expense, higher fees, and higher net interest income, and was partially offset by higher expenses. 03:12 2021 results also benefited from strong deposit growth and a higher level of earning assets in both Puerto Rico and the U.S. Credit quality continued to improve throughout 2021. NPL decreased by 190 million or 26% and net charge-offs were 7 basis points in 2021, compared to [56] [ph] basis points in the prior year. 03:39 We are pleased with how our portfolios have outperformed, particularly with net charge-offs below 10 basis points for the year. Our capital levels are strong with a year-end common equity tier 1 ratio of 17.5%. Our tangible book value ended 2021 at $65.39, a 4% increase year-over-year. 04:04 Please turn to Slide 4. Our quarterly net income of 206 million was 42 million lower than the third quarter, and 30 million higher than the same quarter of 2020. The sequential variance was driven by a lower benefit in the provision for credit losses, higher expenses, and lower fee income partially offset by higher net interest income. 04:29 Loan growth was solid in the quarter, particularly in Popular Bank, we saw commercial loans increase by 12%. Our margins continue to be impacted by the low rate environment and our asset mix. However, we are encouraged with the margin expansion and the U.S. business. Credit quality trends continue to be favorable in the period with lower NPLs and net recoveries in charge-offs. 04:57 Please turn to Slide 5. Our customer base in Puerto Rico grew by 43,000 in 2021, of which 1,800 was in the fourth quarter to reach nearly 1.95 million unique customers. Adoption of digital channels among our retail customers continue to be strong. Active users on Mi Banco platform exceed 1.1 million and have grown by 3% since December 2020 and by 20% since December 2019. 05:30 We captured two-thirds of our deposits during the period through digital channels. This trend remains significantly higher than pre-pandemic levels. The dollar value of credit and debit card sales for our customers have continued to trend higher, increasing by 7%, compared to the same quarter a year ago and by 25% in 2021 as compared to 2020. 05:56 Auto loan and lease originations at BPPR have remained very strong. While it [increased] [ph] compared to the fourth quarter of 2020, they were 23% higher year-over-year in 2021. The housing market also continues to be robust. The dollar value of mortgage origination to BPPR decreased by 11% sequentially in the fourth quarter, but the full-year originations increased by 28% as compared to 2020. 06:25 Please turn to Slide 6 for an update on the current macro environment in Puerto Rico. In the fourth quarter, the economy performed well as business trends and customer activity remains solid. New auto and used auto sales reflect strong consumer demand. 06:42 For the year, 129,000 new units were sold, compared to 95,000 units in 2020 and it is the highest annual level of reported sales since 2005. The Puerto Rico economic activity index, which includes total employment, cement sales, electricity generation and gasoline sales has been improving and as of November 2021, it has returned to pre-pandemic levels. 07:12 Employment levels have also continued to improve. According to a recent study by a Federal Reserve Bank in New York, employment levels in Puerto Rico have recovered more quickly than in many other jurisdictions and have now surpassed pre-pandemic levels. 07:27 Cement sales have remained strong. In 2021, sales were 13% higher, compared to 2020. Airport traffic has also continued to improve. Passenger volumes doubled in 2021, compared to last year, and increased by 3%, compared to 2019, which itself was a strong year. 07:50 Activity levels in the tourism and hospitality sector have also been a source of strength for the local economy in 2021. While the recent surge in COVID cases may impact the industry in the near-term Puerto Rico continues to be a popular destination or mainland revenue. 08:07 The recent quarter approval of the plan of adjustment should be an important catalyst for Puerto Rico’s fiscal and economic recovery. The plan eliminates uncertainty and provides necessary clarity to confidently plan investments toward Puerto Rico’s sustainable growth. 08:25 A significant amount of time and effort has been invested to get us to this point, and we look forward to refocusing these resources on the items, long-term economic development. We are very pleased with our results for the fourth quarter. We couldn’t be optimistic about the prospects for the future, yet will remain attentive to have the evolving health situation may impact the economy. 08:50 I'll now turn the call over to Carlos for more details on our financial results.
Carlos Vázquez: 08:54 Thank you, Ignacio. Good morning. Before we turn to the fourth quarter results, let me expand on Popular’s 2021 full-year performance, which is included in the appendix to this presentation and today's press release. Our net interest income increased by 5% year-over-year to 1.96 billion to the growth in earning assets. 09:18 In 2021, we reported a provision benefit of 194 million, compared to a provision expense of 293 million in 2020. The provision benefit was driven by the current recovery, the continued strength of economic projections, and low levels of charge-offs. 09:37 Non-interest income increased by 25% year-over-year with more segments higher in 2021 versus 2020. Operating expenses increased 6% for the year to 1.55 billion, higher personnel, technology, and regulatory cost for the primary drivers. Our capital position is robust. We ended the year with a tangible book value increasing by more than $2 per share to $65.39, notwithstanding the repurchase of 350 million of common stock. 10:12 Please turn to Slide 7. As usual, additional information is provided in the appendix to the slide deck. Today's earnings press release details variances from the third quarter. Net interest income for the fourth quarter was 501 million, an increase of 12 million from Q3. [Net interest] [ph] income decreased by 5 million to 165 million in Q4. 10:36 The impact of two items in Q3 concluded these results, a $7 million gain associated with the sale to two corporate office buildings and income and investments held under the equity method, that are 5.4 million lower in Q4. These negative variances were partially offset by 4 million higher seasonal contingent insurance commissions and 2 million higher credit card fees. 11:02 Going forward, we expect that the average quarterly level of non-interest income will be around 155 million to 160 million. The provision for the fourth quarter was a benefit of 33 million. This was 28 million lower than the benefit recorded in the third quarter. 11:22 Total operating expenses were 417 million in the quarter, an increase of 29 million from Q3. This increase was impacted by higher employee compensation cost by 3 million, mostly driven by salary increases, higher incentives, and commissions, equipment expense up by 3 billion, and seasonal business promotional expenses up by 8 million, including 2 million higher credit cards rewards expenses. 11:51 Other operating expenses increased by 50 million, due to higher sundry losses by 10 million, which includes 4 million related to the termination of a white label credit card contract and higher permit losses on undeveloped properties of 5 million. Also, amortization of intangibles grew by 5 million, due to a write-down of a trademark. Excluding the 10 million of impairments and write-downs just mentioned, our expenses will have been within our prior guidance for Q4. 12:22 For 2022, we expect average quarterly expenses to be at around 415 million. The increase on 2021 is driven by higher expenses in the following categories. [Personnel] [ph], as we continue to invest in training and compensation with the related benefit cost also increasing. This is driven by a tight labor market in Puerto Rico and in the regions where we operate in the mainland. 12:51 Technology as we continue to modernize our digital capabilities, cure obsolescence and address regulatory, cyber, and compliance needs. And finally, Business Promotion, especially in expenses related to reward programs for our clients. Some of these higher technology and reward expenses are related to our expectations of higher levels of client activity. 13:15 Obviously, we will strive to come in below this effective level of expenses. Our effective tax rate for the quarter was 27% and for the full-year 2021 was 25%. In 2022, we expect the effective tax rate to be between 18% and 20%, a higher tax rate in 2021 was related to the tax effect of the provision releases towards the year. 13:44 Please turn to Slide 8. Net interest income on a taxable equivalent basis was 544 million, 8 million higher than in the third quarter. The increase in net interest income on a taxable equivalent basis was mainly related to the repayment of PCD loans and higher PPP fees, as well as the activity recognized in the quarter from our recently acquired lease refinancing business. 14:11 Deposits grew by 1 billion in the quarter. The growth was in BPPR with a 700 million increase in our retail and commercial deposits, adding 300 million increase in public deposits. Net interest margin was essentially flat. The total loan yield increased by 11 basis points in Q4. Again, mostly on PPP fees and repayment of PCD loans. 14:36 PPP loans yielded 17.9% in this quarter, compared to 10.1% in Q3, due to higher accelerated recognition of fee income of our forgiveness. In 2021, we recognized 82 million in income from this program. 14:54 The outstanding year-end balance of PPP loans is 353 million. The remaining unamortized portion of fees for this portfolio is approximately 18 million, which we expect to recognize during the first half of 2022. 15:11 As of the end of the fourth quarter, Puerto Rico public deposits were roughly 21 billion. Given the approval of the final adjustment, we anticipate that approximately 7 billion to 10 billion of public deposits will [reach the] [ph] bank by the end of the first quarter or early in the second quarter. This will reduce low yielding assets on our balance sheet. 15:33 As of 12/31, every 1 billion decrease in public deposits would have increased our net interest margin by 4 basis points to 5 basis points. It's important to reiterate that this anticipated outflow deposits will not be a liquidity event for the bank as by law in Puerto Rico, [business] [ph] deposits must be collateralized. 15:55 We continue to be asset sensitive due to our large cash position driven by elevated public deposit balances. Even with the expected outflow of these deposits, we will continue being asset sensitive. 16:09 As of December 2021, these 25 basis points change in Fed funds would correspond to a 6 million to 8 million change in net interest income per quarter. Our ending loan balances increased by 389 million in the quarter. This increase occurred by 317 million decrease in PPP loans. 16:35 Excluding the impact of PPP, loan balances grew by 706 million in Q4, reflecting higher commercial loan balances of Popular Bank and to a lesser extent high auto, personal, credit card, and commercial balances in Puerto Rico. The increase in the U.S. include the Acquisition of K2, which added 105 million in loans. 16:59 These balance increases were of same part by lower construction balances, both in the U.S. and Puerto Rico, as well as continued trend like [run-up] [ph] in the mortgage portfolio in Puerto Rico of 112 million. We are encouraged by the demand for credit at BPPR and are already seeing growth in most segments. 17:20 Despite these positive trends, we do not expect overall loan growth to materialize in Puerto Rico until the middle of this year when demand resulting from expected economic growth should outpace the forgiveness of PPP loans and the mortgage run-off. 17:35 Please turn to Slide 9. Capital levels remain strong. Our common equity Tier 1 ratio in Q4 was 17.5% flat with Q3. Tangible book value decreased in the quarter by approximately 1% to 65.39, primarily driven by the higher accumulated unrealized losses on investments. Our return on tangible equity was 19.4% in the fourth quarter. 18:02 To review our 2021 capital actions, last year, we repurchased 350 million in common stock, increased our quarterly dividend from – by $0.05 per share to $0.45 per share, redeemed 187 million in high-cost trust. And finally acquired a national healthcare equipment leasing business for 157 million. 18:25 As Ignacio mentioned at the start of today's call, our announced 2022 capital plan includes two actions. First, an increase in Popular’s quarterly common dividend by $0.10 to $0.55 per share starting in Q2. Secondly, we will be executing a common stock repurchase program of up to 500 million. While our recent buyback programs have been executed via ASR, the implementation plan for this buyback is still under consideration. 18:55 We have returned to our normal capital planning schedule, which should result in an announced Popular’s 2023 capital actions no later than our January 2023 webcast. We will continue to explore opportunities to manage our capital structure during the remaining of 2022 and in future periods. 19:14 With that, I’ll turn the call over to Lidio.
Lidio Soriano: 19:17 Thank you, Carlos, and good morning. Overall Popular continued to exhibit strong credit quality trends and low credit costs with net recoveries and decreasing non-performing loans. We continue to closely monitor COVID-19 pandemic related risk on borrower performance and changes in the pace of economic recovery as new variants continue to emerge. 19:42 However, we're optimistic given recent credit performance, economic outlook, and improvement in the risk profile of the corporation's loan portfolios. 19:52 Turning to Slide number 10. Non-performing assets decreased by 77 million to 633 million this quarter, mainly driven by an NPL decrease of 85 million offset in part by an audio increase of 8 million. The decrease in NPLs was mainly Puerto Rico, driven by lower commercial NPLs of 63 million, primarily due to pay-off and pay-downs related to troubled loan resolutions. 20:22 Also contributed to the increase where loans that returned to accrual status during the quarter, coupled with lower mortgage NPLs of 21 million and lower contractual NPLs of 14 million. In the U.S., NPLs increased by 10 million, mainly due to mortgage loans that did not resume payment at the end of the pandemic deferral period. 20:47 Year-over-year, NPLs decreased by 119 million or 26%, mostly Puerto Rico to improvement in economic performance. Compared to the third quarter, NPL inflows excluding consumer loans increased by 3 million, driven by an increase of 10 million in the U.S., due to the higher mortgage inflows as discussed before, offset by lower commercial and mortgage NPL inflows in Puerto Rico. 21:18 The order increase in the quarter was driven by the resumption of our closure activity in the Puerto Rico mortgage portfolio. At the end of quarter, the ratio of NPLs to total loans, healthy portfolio was 1.9%, compared to 2.2% in the previous quarter, and 2.5% in the year-over-year. 21:42 Turning to Slide number 11. Net-charge-off amounted to a net recovery of 8 million or an annualized negative 11 basis points of average loans health in portfolio, compared to 9 million or 12 basis points in the previous quarter. The variance in net charge-off was mainly driven by the resolution of the previously mentioned commercial non-performing loans. 22:09 For the year, net charge-off ratio improved by 59 basis points from 56 basis points in 2020 to 7 basis points this year, driven by improvements in both regions across all major loan categories. 22:26 The cooperation allowance for credit losses decreased by 23 million to 695 million, driven mainly by improving credit quality, improvement in mortgage related industries’ operating values coupled with releases from our qualitative reserves. 22:44 The ratio of allowance for credit losses to loans held-in-portfolio, decreased slightly to 2.38% from 2.49% in the third quarter, and is down from 2.89% as of CECL Day 1. The ratio of allowance from credit losses to NPLs health in portfolio was 127%, compared to 114% in the prior quarter. 23:11 The provision for credit losses was a benefit of 31 million, compared to a benefit of 59 million in the previous quarter. 23:21 Please turn to Slide number 12. The variance in allowance for credit losses was driven by changes to qualitative reserves, economic outlook, as well as portfolio credit quality and mix offset in part by changes in economic [scenarios wins] [ph]. 23:39 During the quarter, we released 17 million from our qualitative reserve from the [economic] [ph] environment and improvements in borrower performance. Portfolio changes driven mainly by credit quality and volume mix caused the ACL to decrease by 28 million. This quarter, in response to uncertainty, caused by Omicron and the setback in the – in President Biden’s build back better plan, we increased the pessimistic scenario weight, which contributed to an increase of 13 million from reserves. 24:16 However, the macroeconomic scenarios for Puerto Rico in the U.S. continue to show a positive outlook for the economy. To summarize, our loan-portfolio exhibited strong credit quality metrics with net recoveries in the charge offs and decreasing non-performing loans. We’re optimistic in recent credit performance, economic outlook, and improvements in the risk profile of the corporations loan portfolio. 24:44 With that, I would like to turn the call over to Ignacio, for his concluding remarks. Thank you.
Ignacio Alvarez: 24:50 Thank you, Lidio and Carlos for your update. 2021 was an outstanding year for Popular, driven by record earnings, improved credit quality, record deposit levels, continued customer growth, and the successful execution of our capital actions. We are optimistic about the economic outlook. 25:10 In addition to the unprecedented level of federal stimulus with COVID, Puerto Rico still has a significant amount of hurricane recovery funds that have yet to be dispersed, but have now begun to flow at a faster pace. The combined impact of these factors along with the continued progress on the resolution of Puerto Rico’s fiscal issues should generate considerable economic activity in many sectors for the coming years, and we are well-positioned to benefit from such activity. 25:40 I’m very proud to report that both BPPR and Popular Bank each now offer Bank On certified deposit accounts. Bank On certified accounts were created by the cities for financial [indiscernible] fund, a National non-profit organization, [indiscernible] financial inclusion for under bank and unbanked consumers through standard account features that ensure low cost, while offering robust transactions capabilities. 26:07 In Puerto Rico, we are the only bank that is currently offering a bank on product. [And top of all] [ph], the mission of financial inclusion in equal access to banking, closely aligned with our core values of our organization. We are committed to improving access to financial services from members of our community that have for number of reasons remain outside the traditional banking system. 26:31 We are also proud of an included in this year's Bloomberg Gender-Equality Index, as we continue to make strides in gender parity at Popular and across the financial industry. Our commitment to fostering our workplace that values inclusion, a respect and accountability doesn't just make us a better employer, it makes us a stronger organization. And last, but certainly not least, I'd like to thank our entire team for their patients and resilience in helping us achieve our record results. 27:02 It goes without saying that our employees continue to be our greatest source of strength. We are now ready for your questions.
Operator: 27:12 Thank you. [Operator Instructions] Our first question today comes from Brett Rabatin from Hovde Group. Brett, your line is open.
Brett Rabatin: 27:29 Hey guys, good morning.
Ignacio Alvarez : 27:31 Good morning, Brett.
Carlos Vázquez: 27:32 Good morning, Brett.
Brett Rabatin: 27:34 Wanted to first ask congrats on the loan growth in the U.S. Bank and that changed the tenure on the path of the loan portfolio. Can you talk maybe a little bit about the continued momentum if possible on the U.S. side and K2 and if the trends we saw in the fourth quarter, if that might continue to translate during 2022 and if the Puerto Rico Bank starts to maybe have stronger trends as well that kind of contributes to maybe a better trend for positive net growth and maybe you were thinking a quarter or so ago?
Ignacio Alvarez: 28:12 I think the fourth quarter was actually a great quarter for the U.S. operations, but it did follow to a slower third quarter. So, I wouldn't predict that the fourth quarter would be the normal rate of growth, but we are anticipating solid growth in the U.S. In Puerto Rico, I think we've been very consistent saying we're starting to see loan to demand pickup and we continue to see that. 28:39 And as Carlos mentioned in his remarks, we expect that by the second half of the year, that loan growth in Puerto Rico will outpace our mortgage runoff and our PPP repayment. So, we continue to be optimistic, but I think I wouldn't project the fourth quarter U.S. as their run rate, but they have a strong book and I think we’re looking forward to that production, but I wouldn't project the fourth quarter as a normal rate growth.
Brett Rabatin: 29:07 Okay. And then with the deposit outflow if I understand right, if your deposits are down 7 billion that your margin will be up around 35 basis points, if I heard you correct, it was 4 basis points to 5 basis points per billion of deposits, was that the correct number?
Carlos Vázquez: 29:30 That is correct.
Brett Rabatin: 29:32 Okay. And then on the expense guidance for [4.15] [ph] would there be a progression during the year of that or is that more of how you kind of view the quarters in general and either kind of flat throughout the year?
Ignacio Alvarez: 29:55 Yes. There usually is some volatility in our expense, total expenses on the fourth quarter basis. [Indiscernible] rarely are flat through the year. They sort of tend to go up during the year actually. So that is the reason we've described it [4.15] [ph] average quarterly for the year. It may be that we have a couple of quarters that will be lower and then we may end up with a couple of quarters will be higher. But again, there has historically been some seasonality in our expense as you know, it probably would repeat itself next year, but we’re not sure. I mean this year, sorry.
Brett Rabatin: 30:38 Okay. And then last is kind of a housekeeping issue. I don't have, I've seen a couple of different numbers and so you mentioned the funds dispersed still to come for Puerto Rico and I've seen a few different numbers, and the number, I guess, I've seen a lot 40 billion, would you guys have a better number for the funds that are yet to be dispersed in Puerto Rico?
Ignacio Alvarez: 31:02 Yeah. Yes, I think no, it’s like, I mean, it's hard to figure out, but if you take the FEMA [indiscernible] COVID relief and then the infrastructure bill, we think there's probably a 50 billion to 60 billion left to be dispersed.
Brett Rabatin: 31:25 Really. Okay. Great. Thanks for all the color. Congrats on the quarter.
Ignacio Alvarez: 31:31 Thank you.
Carlos Vázquez : 31:32 Thank you.
Operator: 31:34 Our next question comes from Brock Vandervliet from UBS. Brook, your line is open.
Brock Vandervliet: 31:41 Great. Thanks Emily. Good morning guys.
Ignacio Alvarez: 31:47 Good morning.
Brock Vandervliet: 31:49 Let's see. The capital return, talk about the ASR under consideration, is that just the timing issue where it's technically always under consideration at this point or might you really do a different structure there. And secondly, can you talk about whether it's refinancing sub-debt or other items, kind of other organic uses of capital?
Carlos Vázquez : 32:20 Right. On your first question, we have as I have mentioned [you] [ph] ASR in the last few years, but we actually have no – we have no pre-decision made, every year we actually sit down, we look at the market and we look at what we think is going to happen and consider all the alternatives. So, the real answer to your question is that all alternative [to execute] [ph] the buyback are still open. And as soon as we make a decision, we will let the market know, but at this point in time, [alternatives] [ph] are open. 32:59 On your second question, yes, I mean, as I mentioned in the prepared remarks, I mean, we'll look at opportunities and during the rest of the year and next year. Again as we – if we make any decisions or when we make a decision we will probably announce them to the market.
Brock Vandervliet: 33:23 Okay. And separately on the non-interest revenue guide, the [155 to 160] [ph] if I cut that correctly, that looks just a bit below your current run rate and especially showing momentum on the fee side? Just wanted to dig in the that.
Ignacio Alvarez: 33:43 Yeah. The runway rate has been a bit higher, but if you break down the formation on all those lines of fees Brock for the last couple of quarters, there's been a number of things in those quarters that are unusual. 33:58 So, my commentary was more directed to – so the run rate of the normal fees is supposed to try to incorporate on new side items in it.
Brock Vandervliet: 34:10 Okay.
Ignacio Alvarez: 34:11 But it has been a bit higher in the last quarter, you are correct.
Brock Vandervliet: 34:18 Got it. And is any of that guidance due to elimination of MCF fees, that's a constant question I get?
Ignacio Alvarez: 34:28 Right. Well, we are in – as every other bank case is, I guess, we are in the process of concluding our analysis of all overdraft and overdraft related fees. There's a lot of lines that are broadly described as overdraft fees that are not necessarily the same activities by the client. So, we're in the process of going through and analyzing what our present practices are and what we could make sense, we have not concluded that in [indiscernible]. 35:02 What I can tell you is that, in our case, the summation of all those fees is about $20 million a year. And of course, not all of those lines of fees will be affected because there's some of those fees will continue moving forward, but we haven't concluded [indiscernible] yet.
Brock Vandervliet: 35:27 Okay. Thanks.
Ignacio Alvarez: 35:31 Thank you.
Operator: 35:35 Our next question comes from [indiscernible] from Wells Fargo. [Indiscernible] your line is open.
Unidentified Analyst: 35:42 Hi, good morning.
Ignacio Alvarez: 35:44 Good morning.
Unidentified Analyst: 35:46 Hi. Maybe just circling back on expenses, maybe another way of asking that question, so you pointed it through personnel expense, technology, and business promotion activity in 2022 driving that average rate higher. I guess of the planned personnel technology and business promotion spend, how much already is accomplished and maybe give a timeline as to some of the bigger projects that are slated to come online during 2022?
Carlos Vázquez: 36:17 Yes, I mean, we – our expense lines tend to be rather volatile. So that's one of the reasons we have shied away from giving guidance on a per line basis. We would keep our guidance on the aggregate expense level. What I can tell you is that the significant part of the increase will be in the personal line. As we've seen real pressure on competitive pressure on the personal side. 36:52 As we've made public, for example, at the beginning of this year, we increased our minimum wage Puerto Rico from $11 to $13 an hour. So that will obviously affect the full year 2022. We also increased our minimum wage in the very [British Islands] [ph] and in both of our U.S markets. So that is a big part of it. 37:13 The technology one is broken up in our expense lines in a whole bunch of different lines. It's a little bit unusual for us. In our case, a lot of the technology expense in personnel, our professional fees because our relationship with Evertec on the equipment line, so they've broken up all the expense lines. And again, that's one of the reasons we try to [stay away] [ph] from line-by-line guidance, and we give you general guidance.
Unidentified Analyst: 37:45 Okay. Thank you for that. And then maybe looking at the residential runoff of the Puerto Rico book there, it looks like the pace of runoff slowed in the fourth quarter a little bit. I guess what's your expectation with higher interest rates to the pace of refi activity, and could we actually get kind of normalization and stability in the resi books sooner than expected with the help of rates?
Carlos Vázquez : 38:15 I mean, you're right. The run of freight was slightly lower. I think it was around [1.30] [ph] or something like that in the third quarter as [1.12] [ph] this quarter. I would expect with rates going up, that the run-off rate may slow down somewhat, yes, but even in an environment where rates weren't changing as much, the run-off rate was still $25 million a month, sorry a quarter. So, yes, it could become lower than [1.12] [ph]. 38:50 I'm not sure if it is going to become immensely smaller than [1.12] [ph] but it should – with higher rates it should become smaller, yes.
Unidentified Analyst: 39:03 Okay, thank you. And then just lastly to me, maybe a bigger picture question. Can you just provide us with an update on the Evertec situation and kind of what your ongoing plan is with that investment? Could we see something in the near-term or are you really reluctant to be much with, I think the service agreement runs until 2025, if I'm not mistaken? Are you likely to do something prior to that or do you want to go through that process first if we’re making any ongoing decisions?
Ignacio Alvarez: 39:35 Yes. We have 3.5 years to go on that. Obviously, we would try and reach an arrangement with Evertec before them [indiscernible] for the benefit of both going forward, but still it's too early to really say much more than that.
Unidentified Analyst: 39:55 Understood. Okay. Thank you.
Operator: 40:01 Our next question comes from Alex Twerdahl from Piper Sandler. Alex, your line is open.
Alex Twerdahl: 40:07 Hey, good morning.
Ignacio Alvarez: 40:09 Good morning.
Alex Twerdahl: 40:12 First off, just wanted to clarify Carlos your comments on the rate sensitivity, the 6 million to 8 million per hike, per quarter, which is definitely above what you saw coming down. That just assumes the static balance sheet, correct?
Carlos Vázquez: 40:28 Correct, yes.
Alex Twerdahl: 40:30 Okay. So then just dig in a little bit more into that, you know, if we do get some loan growth later in this year, which we're all very much hoping for. Can you just remind us what kind of the new loan yields are that you'd be deploying cash at, if that growth comes in the various categories?
Carlos Vázquez: 40:50 It will depend on the mix Alex. I think the best thing you could do is, look at the years with which we closed every one of the different business lines in the press release, and start thinking about that, and hopefully rates go up, some of the businesses may do a little bit better, but it is hard because if we end up, for example, we're using a lot more higher FICO credit cards, high [indiscernible] loans then the yield may not go up, even the market is going up simply because the risk profile is changing.
Alex Twerdahl: 41:27 Okay. But in terms of the, like, sort of the expected yields that you’d see unlike a commercial loan today, those are pretty close to that, sort of 5.5% range that we're seeing on the average balance sheet?
Carlos Vázquez: 41:40 Yeah. Maybe, if you actually look at the yields in our loan book, they don't move as much as market rates do. They’re made a lot lower. So, they're probably going to be around that ballpark. Again, the thing that could swing in is a big change it makes though. If we end up doing bigger loans in different sector or something.
Alex Twerdahl: 42:02 Okay, great. And then in the past, you’ve been hesitant to the [Multiple Speakers].
Carlos Vázquez: 42:05 … about one-third of the book is floating rate.
Alex Twerdahl: 42:15 One-third of the commercial book or one-third of the total portfolio?
Carlos Vázquez: 42:19 Total portfolio.
Alex Twerdahl: 42:23 Okay. And then in the past you’ve been hesitant to deploy liquidity to securities just given where the tenure was and we're up about 50 basis points since we last had this conversation. I know you did some purchases in the fourth quarter, could you give us some color on the timing and what you'd actually deployed in terms of liquidity in the fourth quarter? And then kind of how your outlook is from here in terms of security purchases early in 2022?
Carlos Vázquez: 42:50 Yes. As you know, for the last, I think four quarters, we're being moving cash into securities portfolio, every one of the last four quarters, the increase in the fourth quarter was $500 million, roughly, a bit more. 43:05 So, it's something that we have been doing for the last few quarters, as we found rates are a little bit more interesting. This is literally a decision that we make in our weekly ALCO committee and we have a very capable treasurer with job it is to do that – this is for us. So, we'll keep looking at alternatives to the extent that rates continue to go up and are more attractive, we will be – our probability that we will really employ cash will go up, but there is no specific plan I can describe to you right now.
Alex Twerdahl: 43:42 Okay. Can you give us some color on the…?
Carlos Vázquez: 43:45 Do remember that when we hold treasury securities in our portfolio Puerto Rico, the income for those securities is [indiscernible] so it is important not to forget that.
Alex Twerdahl: 43:59 Yeah. That's an important point. But just in terms of what you did in the fourth quarter, has that been done late in the quarter, early in the quarter, just so we can kind of get a sense for what's already impacted the NII line in the fourth quarter?
Carlos Vázquez: 44:12 It was all late in the quarter.
Alex Twerdahl: 44:15 Okay. And then just switching to loan growth, and you talk about some of the [indiscernible] money coming in and if you drill into some of those programs, there is a pretty large component and some associates some of this CDBG money that really requires bank funding. I was just wondering if you can give us an update on kind of what that pipeline could look like? I heard from another bank down there that a lot of those applications, if there's a huge number of applications for some of the programs that are kind of awaiting government approval at this point? And maybe you can just give us a little bit of color on sort of what that process is like and when you could actually see some disbursements for those types of loans and hopefully whether or not it's in 2022?
Ignacio Alvarez: 45:03 Yes. It's a kind of a complex answer because it's a complex situation. We have different sources of funds, right? So, you got the theme of funds. You got the CDBG funds, you got COVID relief money, and now you have the infrastructure. I think the CDBG has gone through a process requesting proposals and they're pretty advanced. 45:29 A lot of people have filed proposals and then the process of analyzing them. So, I would expect that by the end of the year – it's a process right, because [indiscernible] and you have to get the plan, the permit, but the money is starting to flow in – not as the massive amounts we anticipated in, but money is starting to flow, especially the COVID relief funds have very few restrictions. 46:00 So that money you're seeing already in [indiscernible] and things like that to a lesser extent. I think the CDBG will begin to flow this year, certain of their programs, and FEMA though that is slower pace, but it's also moving in the right direction. They’ve awarded a number of projects now and then the design phase. 46:19 So, I think this year won't be the year where the [indiscernible] will be wide open. You'll see – it’s hard to predict because we not trying be allusive, it is very hard for everyone to predict how fast you think [indiscernible], but they're beginning to move. So, I would expect we'll see more disbursements this year. The infrastructure bill has all money from high lanes and roads and bridges also. So, it's, I think we'll begin see this year especially in the second half. And next year picking up again, and the next year picking up again. 46:50 I mean, some of the big, big money projects like the rebuild of the energy sector take longer because that's a very complete process whether [indiscernible] energy board and they have to go the review process, but I think some of the money for housing and for other projects for economic development of the CDBG will start to flow this year.
Alex Twerdahl: 47:14 Right. And if you just kind of peel back the onion a little bit on the loan growth guide, you know PPP is obviously going away in the next couple of quarters. We know that residential runoff is going to be persisting issue. If we just look at the commercial portfolio, just the commercial standalone portfolio in Puerto Rico, which I guess would include commercial real estate and construction, would you anticipate that portfolio to grow exclusive, of course of PPP over the next couple quarters? And maybe talk a little bit about what the pipeline could look like, utilization rates, and whether or not you have any construction loans that maybe have been approved, but haven't really seen disbursements yet?
Ignacio Alvarez : 47:55 I wouldn't get into single construction projects, our book is big enough, but I think as we said before, we do expect our portfolio to grow in the second half of the year. So – and that we do expect the commercial loan portfolio to grow. 48:08 There have been lines granted for different construction projects. Those lines, their utilization probably isn’t as high as they’ve been in the past because for example, the ones that are used to build residential units are being sold much faster than in the past and people now are more prudent how they build – also they build in stages where they don’t build the whole project at a time to do [indiscernible]. But, yeah, we expect – I think there'll be infrastructure projects, there’ll be commercial projects. 48:38 So, we do expect loan growth in the commercial sector in the second half. We're seeing a lot of interest in different things. As you know, the [King of Spain] [ph] was here the other day, and they brought a commercial mission, lot of interest from U.S. Ambassadors, but also we had a lot of Spanish investors, very interested in different types of projects. So, again, we do think commercial in general is going to be – is going see growth in the second half. 49:06 We don't see this particular pipeline because our focus is to big and I think too complex to get in that, but generally, we are optimizing optimistic and positive with what we're seeing in terms of [guidance] [ph] coming in.
Carlos Vázquez: 49:17 Actually ex-PPP and commercial [vertical growth thus far] [ph]. So, we’re positive in that construction company will be a little bit more volatile depending on the [indiscernible] and something.
Alex Twerdahl: 49:32 Understood. And then just one more question that I wanted to make sure you guys addressed on this call. When I look at press release you guys put out a couple of weeks ago on the capital return, can't help but to notice that the language that you put in last year's press release about the – I think last year you said that that announcement of the buyback was it for the whole year, is that language missing from this year's press release? Am I reading too much into that? Or is the door just open for kind of everything at this point? We know that we're going to have a $500 million buyback and if growth really picks up, maybe that's all you get this year, but if the growth doesn't materialize and you don't see M&A has a potential that maybe there could be some more buyback later in the year as other uses of capital is they do or don't materialize?
Carlos Vázquez: 50:21 We stand by what we say Alex. We'll continue those [indiscernible] [2022] [ph].
Alex Twerdahl: 50:30 Okay. That’s it from me.
Operator: 50:40 Our next question comes from the line of Gerard Cassidy from RBC. Your line is open.
Gerard Cassidy: 50:47 Good morning Ignacio. Good morning, Carlos.
Ignacio Alvarez: 50:50 Good morning, Gerard.
Carlos Vázquez: 50:51 Good morning, Gerard.
Gerard Cassidy: 50:53 I have to ask before I ask a real question with – being one degrees up here, I'm seeing [sea smells] [ph] off the ocean. How warm is it down there today?
Ignacio Alvarez : 51:03 It’s a beautiful day today. Warm, but not too warm.
Gerard Cassidy: 51:11 There you go. There you go. I [indiscernible] you today. Thank you for taking the questions and stuff. Carlos, you talked about the deposits with the government. I think you said they totaled 21 billion, you're expecting 7 billion to 10 billion to be dispersed to them over the first and second quarters, will there be more disbursements later in the year or next year, what's the outlook for that, the remaining amount?
Carlos Vázquez: 51:41 They haven’t concluded all of the transactions. Okay. There is still some restructuring, an [indiscernible] company that are pending. So, there could be some more outflow related to those. Those are smaller. I think when this amount of liquidity moves out, the government will finally get back into a normal course of business of running the government. So, I think the flow of funds will probably get money coming in and coming out will increase as well. 52:16 So, I think what was going to happen is that we'll end up normalizing to some level of balances that was very good in the year. As you know, it always goes up in the first quarter – the second quarter when tax savings come in, and then it goes down with the year. But as far as we know, it might be slightly smaller than the 11 or 10 or 12 that will be left after this, but it is hard for us to figure exactly what the new number is going to be because as you know Gerard, a lot of these accounts were not with us before, so we don't have a long history with them. 52:53 They used to be GDB before. But – so yes, there could be some additional outflows. They should not be of this magnitude and we will end up with a more normalized level of probably deposits moving forward, again, probably less than the net amount of the outflow, but exactly where we’re not sure.
Gerard Cassidy: 53:16 Okay. Thank you. And then in your slide deck, you guys showed the credit – unsecured credit ratings you have, and I notice the S&P one is on positive outlook, now granted there's a slightly below Moody's and Fitch, do you guys have any idea when they may come out with their determination whether they're going to reach that credit rating?
Ignacio Alvarez : 53:41 Not very clear. I am not sure if they will wait till they look at the government before they look at the rest of us. They don't tend to move very fast Gerard. So, not very clear. We're very hopeful that these developments will – the catalyst or some changes in our ratings. So, we get our ratings get closer to what we think the company really is, but we don't have a clear view of the timetable here.
Gerard Cassidy: 54:14 Okay. I think Ignacio, you talked about the commercial loan growth here in the United States, and in your slides, you show that your total deposit costs at Popular Bank are about 40 basis points, which I know that's an absolute level low relative to history, but relative to the current period we're in and to your peers, it seems to be on the high side, any thoughts on what's driving that number and what could happen to that number once the fed starts raising interest rates as they've said just they are going to do in March?
Ignacio Alvarez: 54:52 Well we’ve haven't had tremendous loan growth that we had to balance our desire to reduce our interest costs with the funding of our loans. We've been very successful this year. I think we have nine consecutive quarters where we lower funding costs. 55:08 Obviously, if rates go up, we'll have to manage that, but remember that part of our strategy in New York, especially was to have our commercial led strategy. So, we are volunteering our branches more for commercial business where you tend to get more stable deposits. So that's a busy part of our strategy, so far it's paying off. 55:31 So, rising rates will, obviously will have to watch the market. Part of our strategy, especially to the New York market to go to the commercial growth was to rely more on commercial deposits and retail deposits, which tend to be more volatile.
Gerard Cassidy: 55:50 Very good. And I assume the K2 numbers are obviously in those quarterly commercial loan numbers, but are you thinking, I may have missed it, I apologize. In response to an earlier question about what drove the commercial loan growth in the U.S., was it middle market commercial real estate? Is it C&I lending, what type of commercial lending drove the core growth in the quarter?
Carlos Vázquez: 56:18 Yes. It is of the growth where I mentioned is, about 105 million was justified that we added the company in the quarter. So, ex the leasing company was a number – high 600. What drove it was mostly our historic lines of business is healthcare, is impaired with the associated banking and CRE, which is a typical kind of business we do. So, we’ve touched, in all the lines of our growth across the board in our historical businesses that drove the growth.
Gerard Cassidy: 56:58 Very good. And then just lastly, Ignacio, a lot of positive numbers coming out of Puerto Rico, which you highlighted on the auto sales etcetera, can you, I don't know if there's any specific numbers you can cite, but can you share with this what's going on with the immigration patterns, have they reversed yet, are folks from Puerto Rico maybe coming back onto the Island or has that not happened yet?
Ignacio Alvarez: 57:26 You know, there's a lot of anecdotal evidence. I don't have the net inflows from the airport at hand, which we used to use. I can tell you that even the fiscal board is not the most optimistic bunch has that in the most recent fiscal plan, reduce the projected level of declining population. 57:54 So, they had it declining in about one point something a year, now they have a 0.9%, and that matches what we're seeing anecdotally. We are seeing more people coming back to the Island. So, I think there's no doubt that the migration trends have improved. I think one area where we have to work as a society and as many other societies have to work is, I'm not so worried about migration anymore because the economics of the [indiscernible] and I don't believe that the push factors, you know we talk about migration, you talk about the pull and the push. I think the pushback factors in Puerto Rico are much less now. 58:30 We currently, you know – in fact anybody who wants a job really should be able to get a job in Puerto Rico today. I worry more about the growth rate and how we can get the growth rate up, because at the end day to me that is more important than the migration actually. Migration will work itself out. Growth rates are very hard to change. 58:52 So, but definitely, the demographic situation has improved, it's still challenging, but again, the only empirical numbers I've seen are the projection in [indiscernible] growth decline, which now have improved in the most recent fiscal platforms, which is being submitted by the board.
Gerard Cassidy: 59:13 Great. I appreciate the color. Thank you, gentlemen.
Ignacio Alvarez: 59:16 Thank you.
Operator: 59:20 Lastly, we have a follow-up question from Brock Vandervliet from UBS. Brock, please go ahead.
Brock Vandervliet: 59:28 Thanks. Just in terms of the credit quality, it seems like credit quality is continuing to improve really across the board. How should we think about the appropriate level of reserving and related to that do you think there's something special in capping the net charge-offs in the past year, because it just doesn't look like the credit quality of the bank that we used to know. It looks like the credit quality of a traditional U.S. Bank, Mainland Bank, and that would point to or suggest a materially lower reserve over a period of time?
Carlos Vázquez: 60:26 I think, as – I thing we stated before [indiscernible] I mean obviously the allowance was going to be driven by credit quality, economic outlook, and the charge-offs that we experienced. Over the last two years, as we mentioned, we have seen significant improvements over what was the traditional charge-off rate of [indiscernible] we used to being a corridor between 75 basis points, 225 basis points, in 2021 that was 7 basis points. In 2020, 66 basis points, as that continues to be key, we received continuous releases over the provision. 61:13 I'm not sure if I answered your question Brock.
Brock Vandervliet: 61:18 Well, close enough. So, the key is among other things, just the continued low net charge-offs.
Carlos Vázquez: 61:31 Yes, obviously. And the forecast. Remember the forecast is the big part of the equation now.
Brock Vandervliet: 61:40 Yes. Okay. Alright. Thank you.
Carlos Vázquez: 61:44 Thank you.
Operator: 61:48 At this time, we have no further questions registered. So, I now hand back to Ignacio Alvarez for any concluding remarks.
Ignacio Alvarez: 61:55 Thank you. Thank you everyone for joining the call for your questions. And we look forward to updating you on our progress in April. Have a great day.
Operator: 62:06 Thank you everyone for joining us today. This now concludes our call. Please disconnect your lines.